Ross Jerrard: Good morning, everyone. I'd like to welcome you today and thank you for taking the time to dial into our Fourth Quarter results Webcast and Conference Call. For those participating on the call, the presentation can be found on the website. And for those who are wishing to follow via the webcast, the link can be found in the quarterly results announcement. My name is Ross Jerrard, I am Interim CEO and CFO of Centamin. And I will be hosting the call today. Joining me on the call is Jeremy Langford, our Chief Operating Officer; and Alexandra Carse, our Head of Investor Relations. If there are any further detail or questions that we cannot answer immediately today, we will revert as soon as possible post the call and I do hope you enjoy the refreshed look and feel of the slides which is a small part of the new Centamin. I draw your attention to our disclaimers around forward-looking statements. Please take the time to read through these statements which can be found in the announcement and in the presentation. Moving to Slide 3, our corporate strategy remains and that is value maximization at Sukari, our commitment to shareholder return and our continued assessment of growth initiative. In terms of value, we have recruited key personnel during 2019 and have seen a positive impact on the business in the last quarter. We are conducting a comprehensive life of asset review which includes optimization studies to responsibly mine profitable options and maximize free cash flow. I must reiterate at the outset that the life of asset review is a series of individual and collective optimizing studies which rebaseline the leading KPIs with objective to maximize free cash. It certainly must not be interpreted as being a single deliverable or a big reveal that will culminate in a single report. We have some exciting ESG and cost saving initiatives and an ongoing exploration plan to maximize the full potential of the whole tenement area of Sukari and further afield. Our commitment to shareholder return is underpinned by our strong balance sheet, which included cash and liquid assets of $349 million at the end of the year with no debt. We have an established track record of paying dividends, and we are proud of the fact that this is our sixth consecutive year of cash dividend. We are very proud of our return to our stakeholders, both our partner, EMRA, through profit share and Egyptian government through royalty, together with our own Centamin shareholders. We have a clean balance sheet with no debt, core hedging and are therefore well-positioned financially to our self-funded growth initiative, having a track record of significant underground resource conversion and having built a meaningful West African portfolio. We do look and will continue to look at inorganic growth initiatives that add value to shareholders. Successful execution of the strategy comes from people as can be seen from Slide 4. Centamin has successfully delivered against an aggressive succession program announced in 2018 involving four Non-Executive Director appointments. The Board is diverse and well balanced in expertise and experience with 80% being independent and 30% being female. The Board will continue to evolve during 2020. We have been really pleased with the impact that the new management team has made at Sukari. It has been a privilege to step into role of Interim CEO at the end of last year, but more importantly, the process to appoint a permanent CEO progresses well. If we turn to Slide 5, we are very conscious and proud of our ESG initiatives across the Group, starting with our workforce. Centamin has always enforced a strong safety culture. The Group LTIFR was 0.29 and we are always striving for zero-harm. We respect the areas, which we operate, but socially, environmentally. And we continue to progress our solar project, scoped to be one of the largest solar farms to power a gold miner. On the first technology, this has been a long and protracted process to-date, but there’s been a lot of hard work that has gone into ensuring that we have the best solar option and look forward to both awarding and commencing construction of the park in the first half of this year. We have already commenced the plant electrical upgrades which was a critical step in ensuring that the system was fit for purpose as well as commencing the ground early work preparation.  We have exceeded our annual water management target of a 50-50 split of saltwater draw versus recycled circuit water, which also importantly involves drawing water from the tailings dam and thereby positively impacting on our TSF management.  We are proud of what we have accomplished with our stakeholders. We have made a cumulative direct financial investment of over $4.2 billion in Egypt with $315 million distributed to our partners EMRA in profit share and another $151 million paid in royalties. With the positioning of the Group, with the potential solar and the current water usage policy, I believe the Group will be one of the lowest carbon emitters within its peer group.  Our financial strength and commitment to shareholder returns can be seen on Page 6. We were pleased to provide the final dividend of $0.06 per share bringing the full dividend to $0.10 per share, up from 5.5 cents last year. Importantly we have been able to deliver six years of consecutive dividend returns. With just shy of $350 million of cash and liquid assets on the balance sheet at year end, no debt, no hedging, loans or gold streaming, we're in a very strong financial position. You can see our track record of cumulative dividend return against backdrop of our cash position, which provides flexibility to deliver on our strategy, core to which is generating sustainable returns to shareholders.  Slide 7 demonstrates the good working dividend policy, which is correlated to free cash flow generation. It is very important to all that this is sustainable and we are confident that it is. With our discipline as capital allocators, we've been able to deliver industry-leading dividend returns as well as invest in both sustaining the business and self-funding investment opportunities. You can see that we're Tier 1 dividend yielder amongst the gold group. Moving on to our results highlights on Page 8. Centamin grew as a business in 2019. The year was not without its challenges, in particular, a weaker Q3, but there is clear visibility in our actions, culture and results that the company is transitioning to the next stage of growth. Whilst we were disappointed that we did not quite reach the year end targeted ounces, we were very pleased with the team’s efforts and focus and what was ultimately delivered. Whilst one quarter does not mean that we are back on track, I'm confident the company has started to transition and we're seeing the results. Equally, even though, we are slightly down on ounces produced, we delivered cash costs, all-in sustaining costs and capital expenditure in line with 2019 expectations, which we're very pleased about. Important to note is that we held 19,000 ounces of bullion in the safe at year end which resulted in the difference between gold ounces produced and sold in the table above. These ounces were sold in early January 2020.  With operating cash flow of approximately $250 million for the year and free cash flow of $74 million generated, this meant that we would again distribute meaningful returns for 2019. We will talk about 2020 and beyond next but I must emphasize again that we are confident that these returns are sustainable.  It is important that we position Sukari for the next chapter and mine for the future. Slide 9 lays out our 2020 guidance which remains unchanged. The production range of 510,000 to 540,000 ounces of production and cash cost between $630 to $680 per ounce produced and all-in sustaining cost between $870 and $920 per ounce sold. The production is weighted to the second half due to the open pit mining sequence with H1/H2 production split expected to be approximately in the 40:60 ratio.  It is important that I highlight that with the success of underground drill programs and particularly the Horus Deeps discovery this last year which shows gold mineralization up to 200 meters below the current underground, we have reassessed the scale of underground upgrades required for the future underground in mind. Accounting for the strength of open pit contribution this year, it is an opportune time to invest in the underground infrastructure upgrades to position for the longer term, specifically the upgrading of the ventilation system, which will significantly improve the air quality at greater depth, allowing for increased future mining activity.  In order to carry out this work in a safe and efficient manner and with minimal disruption to operations, ore mining in the one area will be reduced in 2020. Total capital expenditure is budgeted to be circa $190 million. Sukari's sustaining capital expenditure is relatively stable. There is a larger non-sustaining and growth component portion which we'll go through in a bit more detail in later slides. Exploration investment outside of Egypt targeting a significant resource growth in 2020 at Doropo, Batie West and ABC projects is $20 million. It is a year of investment for the future but we are still able to generate solid free cash flow generation, which at a $1,350 per ounce gold price underpins the sustainable shareholder return.  Turning to Slide 10, we have a number of immediate near and medium term growth opportunities which we are targeting. 10% production growth, investing in our longer term reserve and resource growth with ongoing underground reserve replacement and additional potential Sukari discoveries and pursuing cost reduction opportunities, including our sustainability initiatives and productivity optimization studies; all with the intent of maximizing free cash flow and stakeholder returns.  Talking a bit more about our asset quality. Slide [17] is a quick reminder of why Sukari is well regarded as the world class orebody. Here you can see a long section of the resource-defined porphyry host effectively five separate areas for operating assets: The current open pit; Amun underground; Ptah underground; Horus Deeps underground; and Cleopatra. So open pit is a large bolt-on operation and the underground is a high-grade system. The underground is not yet fully defined is open at depth and along strike. Systematic exploration drilling is ongoing targeting resource growth and resource category upgrades. Where the underground has a five year life of mine, we have a 10 year track record of reserve replacement.  Slide 13 focuses a bit more on the open pit, which last year was the largest contributor to ounce production and will again be into 2020 as we continue to mine Stage 4. Just to be clear on orientation here, the North is on the left hand side of the plan view image. We are mining the pits across three areas marked with white circles, Stage 4 North, East and West. It is the consistency of delivery of the Stage 4 grade and ounces that is important to highlight. We mined these areas at the end of 2019 and will continue through 2020.  Now moving to Slide 14, I'll pass across to Jeremy, if you want to take us through open pit, underground and processing?
Jeremy Langford: Thanks Ross. Good morning, everyone. Quite pleasing results from the open pit during Q4 2019. Equipment availability and utilization were good, certainly, testimony to the miners team we have here at Sukari. Looking ahead, we'll be levering off our strength as an experienced high tonnage operator with a solid operating philosophy and a renewed delivery focus. Our relatively new management team here at Sukari is stabilizing nicely into their roles, and we expect this to continue moving forward. In 2020, we expect sustained deliveries in the open pit in excess of a gram. I might add though, these grades are historical and we have mined them in the past. So we're not surprised. Finally, 2020 would see the 9 ore delivery from Stage 4 and Stage 5 pre-stripping progressing.  Over to Slide 15 and the underground. And in general, we're pleased with the underground performance in Q4, saw improved compliance to plan and pretty solid availability. Again, during Q4, we saw the underground team settling in together. To that, the underground mining activity improved its overall efficiency and compliance to plan. This is evidence as we are seeing less underground dilution and increased coordination between the work fronts and activities. Productivity for me personally are trending the right way. Our objectives in 2020 are all around compliance to plan, effectiveness that normally result in high quality tonnes and grades coming to the ROM. We'll be commencing several effective underground during Q1, which will further add to our increased confidence of the high quality once that we'll deliver. Further improvements underground will see benefits, namely around the increased mining activity beyond 2020. Certainly our exploration results support this statement. Over to Slide 16, processing facilities. Looking, in Q4 and broadly over the past years, the processing facility has continually demonstrated well above nameplate performance. Recoveries are up, utilization is high, and once again, a response to our reinvigorated processing team really finding their feet together. Overall, we see opportunities in the processing facility around the key areas of crushing, milling, reagents mixing, and importantly, reagents addition and leaching.  We're investigating parallel streamlining power consumption, where our average demand across the processing facility and the supporting infrastructure. We believe there are a number of cost opportunities ahead of us that will add their contribution in increasing the overall efficiency and also the cost reduction. I'd like to hand you back to now Ross. Ross?
Ross Jerrard: Thanks, Jeremy. Turning the Slide 17, which shows that the single biggest cost center is processing as indicated on the pie chart. With introduction of the solar project as well as other targeted saving initiatives, the scope is for meaningful cost reductions going forward. In 2020, we have launched targeted program of productivity drives, operational improvements and contract savings, which cover for example, key inputs in grinding, media, fuel, consumption, cyanide reagents, which all have discrete programs to deliver meaningful cost improvements. Reducing the resident's time through the processed plant results in less consumables and reagents having to be added as well as increasing recovery rates. The focus is on generating value ounces. Other chart show our relatively consistent cost base and a low absolute cost increase as planned, the unit costs were within guidance for 2019. While we have a focus on value ounces on the current operations, there is also an active growth pipeline.  Slide 19 shows ongoing growth opportunities. On the left hand side you can see the near-term opportunities and initiatives at Sukari, which includes the solar plant and life of mine extensions, particularly with the underground. The optimization workstreams across the operations under the life of asset review provide further opportunities in 2020 and beyond and we have some exciting exploration across the wider concession area.  Additional long-term growth opportunities are shown on the right hand side. There's some interesting work being carried out by the exploration team. We look and continue to look at strategic opportunities that add value to shareholders. Slide 20 gives a bit more color on the growth pipeline, both at Sukari, Doropo and the Batie project, which we will talk through in the following slide. But first let me talk to CapEx. Slide 21 shows our investing and CapEx profile. Total capital expenditure is budgeted to be $190 million; Sukari’s sustaining capital expenditures stable at $95 million; Sukari non-sustaining capital expenditure is expected to be circa $45 million, which is higher than normal as it predominantly includes $23 million for the -- allocated to the construction of the second tailing storage facility or TSF2.  Centamin is reinvesting a further $50 million of growth capital into the Sukari long-term project, including the construction of the solar power plant, fundamental underground infrastructure upgrades to prepare for future mining at greater depth and upgrading workforce accommodation and camp facilities. This capital outlay will be recovered over three years under the cost recovery mechanism as set out in the Concession Agreement.  Exploration investment outside of Egypt targeting significant resource growth at Doropo, Batie West and ABC projects is approximately $20 million. While these projects are highly attractive, they still need to go through the normal course of business and receive the necessary Board approval and the Group remains committed to disciplined approach to capital allocation.  Slide 22 shows the detail of Sukari where the open pit is a large bulk tonne operation in the underground and the high-grade system. The underground is not yet defined and is open at depth and along strike. Systematic exploration drilling is ongoing and throughout the year targeting resource growth and resource category upgrade. Underground exploration continues to deliver excellent results supporting the operations and unlocking life of mine extensions at depth. I apologize, it might be hard to see some of the drill results but the drill results do include good results in the deeper structures, and that's why we’re wanting to invest in that underground for the future. Slide 23 is particularly exciting as it shows the expansion framework and understanding of the Horus porphyry system, which unlocks Sukari at depth. The 2020 Sukari growth exploration program is focused on understanding this porphyry system with step up drilling from surface and deep holes from the underground. This work will tie into the seismic program creating structural architecture across the tenement at depths of up to 1.5 kilometers. The potential for unlocking further upside right below us in the underground is very exciting.  We have spoken about our near-term mine prospectivity across the 160 square kilometer license area, marked up in the blue square on page -- on Slide 24.  During Q4 2019, two surface rigs were operational, targeting the strike extensions at depth of Osiris Thrust and the Horus porphyry orebody and provided core orientation of the 2D seismic feed data. The 2D seismic program has been run with results currently being analyzed, initial data interpretation is encouraging identifying multiple potential gold systems. Good surface anomalies have been found in the V-Shear East prospect, which will be followed up by mapping and geological modeling. Resource definition drilling at Quartz Ridge, V-Shear South and V-Shear North is planned during 2020, and a tenement-wide aeromagnetic survey is also budgeted for in 2020. Moving further afield to our West African pipeline, Jeremy, would you like to talk us through the next couple of slides? 
Jeremy Langford: Sure. Thanks, Ross. A quick catch up for you all on the West African portfolios. Obviously Doropo is well advanced exploration project in the Northeastern part of it as well. 2019 drill program, so really pleasing results actually, with the resource update of 2.5 million ounces approximately, major indicators. From memory this is published I think in Q3 2019.  Drilling in Q4 was impacted by the unusually wet weather in that part of the region of Cote d'Ivoire. Moving in 2020, our focus will be on resource drilling and options surrounding the resource growth potential at Kilosegui and Varale, both in the Doropo Project.  Our Batie West field exploration was limited in 2019, whilst we conducted an internal review of the project proper. The company is currently assessing the results of this review. On HR front, the company has commenced expanding our in-house project planning.  Slide 26 shows a little bit more detail of Doropo with the zoom in for you all. And in 2020, the focus of H1 will be on resource drilling and better understanding of the resource growth. And the potential of Kilosegui actually to fall -- really progressing feasibility, infrastructure conceptual layouts and the like further. You'll see on the map Kilosegui is located some 30 kilometers from the existing resource cluster. We are very excited about this. Over to Slide 27 and just a brief I guess summary on the ABC Project where exploration drilling originally planned for Kona Central and South was reduced during H2 as we -- so Kona has some additional resources across the Doropo Project and some other into the Kilosegui target.  Good exploration, however, in Q4, focused on the under-explored Northern tenements, namely FarakoNafana. My apologies if I mispronounced that actually. ABC hosts a strong 16 kilometer gold rich corridor interpreted by the strike extension and the resource-hosting in the Lolosso Gold Corridor in the Kona Permit this fiscal.  At Kona South and Central deposits, 3D modeling continued along with modeling for infill drill planning, targeting and resource category upgrades.  And with that, back to you, Ross. 
Ross Jerrard : Thanks Jeremy. Thanks. In conclusion, Slide 29 summarizes our investment proposition, which is underpinned by the world-class Sukari asset, our balance sheet strength and a track record of shareholder return. We have a clear and consistent strategy with a strong operating track record with some really exciting growth potential, which collectively means that we are well positioned for the future.  With that, I'd like to hand back to the operator and open for any questions.
Operator: [Operator Instructions]. The first question is from Justin Chan from Numis Securities. Justin your line is now open. 
Justin Chan: My first one is just on guidance and your production profile through the year. Could you give us a sense of what you expect in terms of underground open pit grade and the profile through the year? And just noting the 40:60 split, is that primarily driven by grade or tonnage? Or could you just give us some color on, I guess, what to expect as the year goes through?
Ross Jerrard: Thanks, Justin. Yes, I guess it's a combination of both in terms of open pit grade and the grades being in excess of the 1 gram as well as tonnages coming out of the underground. But I might pass across to Jeremy to put color on that. 
Jeremy Langford: Yes. Look, they are going to be a big component of the split in the percentage per quarter or per year. The mine plans delivered a set of physicals that we need to deliver across 2020, and we are planning to do it and tracking well to do that. The gold price changes, so we change short term schedules and planning from time-to-time but, yes, the plan is at stated and we continue to track the way. 
Justin Chan: Okay. And in terms of grade and tonnage, I guess, first, on the underground. How many tonnes are -- should we be anticipating through the year and at roughly what grade and I guess the open pit will sort of back out from there?
Jeremy Langford: Good question, Justin. I think I'll put this back on you. I think we need to be minimizing the dilution from underground, so it'll improve the quality of the tonnes we’re bringing from the underground, add to the ROM. So I'd rather bring less tonnes but higher quality than more tonnes and less quality. That makes sense? 
Justin Chan: Okay. And in absolute terms, do you have -- could you give us any guidance on how many tonnes you're expecting from the underground, given you'll be only operating from one decline?
Ross Jerrard: Justin, so if we -- there will be reduced tonnages that come through. So in terms of modeling it’s up to 300,000 tonnes that could be reduced as we look at the underground operation and as infrastructure upgrades. 
Jeremy Langford: Yes, I think it’s important to add to -- just to back you there, Ross, that would be commencement of CRF backfilling underground, that the actual -- the amount of tonnage coming out from underground to dilution will be less, which will increase the ore tonne coming from South.
Ross Jerrard: Our focus is all on ore tonnes and making sure that the activity is minimizing the dilution but it’s making sure that it's high grade and less tonnes. 
Justin Chan: And just on stripping, how much -- I guess what should we expect for stripping this year and in total material movement? And then could you give me a sense of how much total pre-strip is there for Stage 5? And how much are you hoping to get done in 2020?
Ross Jerrard: Do you want to take that?
Jeremy Langford : Yes, sure. So the exact number on the -- obviously with the open pit cutback philosophy as we employed Sukari, we lift from stage-to-stage, and the gold price dictate clearly how we mine that pit. Now we will be pressing and continue with Stage 5 stripping as we move through 2020. And we're on track to access Stage 5 ore on time which will be towards the latter part of this year.
Justin Chan: Okay, great. Thanks. And just my third one is on West Africa. In terms of the feasibility study on Doropo and Batie West, are there any kind of hard timelines that you can give us or perhaps just a sense of what to expect through the year? Should we expect economics in a sense of where they fit in strategically by the time the year is out or is it too early to say and that depends on workflows?
Ross Jerrard: Yes. I'll ask Jeremy comment on that. We will reassess it as we go through the year. I guess in terms the key thing will be on this analysis of Kilosegui. Jeremy, you want to give a bit more color on it in terms of assessment of that, I guess the potential and while we are considering I guess from a distance perspective how that fits in, in terms of our analysis?
Jeremy Langford: Yes. Thanks. Ross. Justin I think it's too premature to comment on Doropo in terms of feasibility. What I mean by that is the exploration results from last year on Kilosegui and the target -- we’re very excited about the target. So it might change the center of mass of where we need to locate infrastructure and how the project looks longer term. So I think it would be wise to maintain our drilling focus with this asset over there for the first half of the year, update resource and really start planning the next phase of the study.
Justin Chan: Okay, thanks very much. Well, certainly watching with excitement over how that comes out and hopefully this new project. Thanks very much guys. Looking forward to continuing to follow on and hopefully see most of you in South Africa this week. 
Operator: Our next question is from James Bell from RBC Capital. James, your line is now open.
James Bell: Just two questions. So firstly just on the phasing of CapEx. Obviously you've got the production weightage. Should we think about the capital expenditures you've outlined above normal sustaining CapEx as being weighted towards the second half? And secondly, on cash, I mean even post the investments you've announced, you're going to have significant headroom above the $100 million cash reserve. Can you talk a little bit about how we should think about that? I mean should we expect above free cash flow dividends on a go forward basis due to this?
Ross Jerrard: Hi, James. Yes, let me take those each in turn. In terms of phasing, we will certainly be matching I guess our CapEx profile with the free cash generation. The additional layer of the growth CapEx that’s obviously invested from treasury funds. So that’s -- will be treated slightly different -- differently. And that's really driven by the further construction and the underground. But the rest of it will be matched with cash burn. And we’ve been pretty disciplined with that in the past.
James Bell: Okay, that makes sense. And then just on the dividend?
Ross Jerrard: The dividend is really -- that excess portion system is allocated against growth. We will be using some of those treasury funds that have drawn down. So, traditionally we've spoken about $250 million to $300 million number. We will allocate $50 million down in cash and that is recovered. So it's really a bridging gap. The rest of it is allocated against growth potential in terms of what we want to do either in West Africa or other opportunities.
James Bell: Okay. Makes sense. And then just on Cleopatra, obviously, it was more of a focus over the last couple of years, and you've obviously started to have some production from the decline. I know there's a sort of change in strategy potentially towards putting it in sort of open pit. Can you maybe talk about whether we should expect any production from the decline this year and maybe what you're thinking is around sort of firming up some resource around that area over the next 12 months?
Ross Jerrard: Thanks, James. Yes, I just want to -- great question on Cleo and just to reiterate in terms of -- it is an exploration play. It's really to provide drill access. We have produced ounces that have basically helped to offset the cost. We certainly are not moving away from Cleopatra. It's really in a reassessment phase and the optionality of whether that goes into an open pit or continues in the current stage. There's no production that we’ve built in for this year in terms of ounces as there's certainly a lot more assessment on what that optionality would mean from an open pit perspective. I don't know, Jeremy, if you want to make any comments?
Jeremy Langford: No, no, no, Ross, well, it's not in the 2020 production schedule. But we're a little bit short for choice at Sukari. We've got a lot of things to do and we're reassessing the exploration results that we had from Q4 last -- well, Q3, Q4 last year, which were great actually. And that's caused us to -- we're rethinking how we attack Cleopatra moving forward.
Operator: You have another question from Alan Spence from Jefferies. Alan, your line is now open.
Alan Spence: I've got a couple, so I can go at them one by one. The first one is on cost. Cost per tonne in both the open pit and underground were at their highest levels in sometime in Q4. Can you give us a bit of detail around what drove that and where you expect those to be in 2020?
Ross Jerrard: Alan, yes, I guess, the cost per tonne metric, it's a little bit distorted in terms of the denominator in Q4. I guess our cost profile is generally quite consistent. There's a lot of, I guess, productivity drop in terms of how we attack our costs going forward in terms of optimization and productivity, in terms of various initiatives across loading and other, I guess optimization of those costs. But the profile is generally consistent, and we're trying to manage that with a sort of flat profile going into 2020.
Alan Spence: CapEx, if we're thinking beyond kind of what you've told us today for 2020, looking at 2020, can you give us a rough sense of where you think that budget could shake out i.e. the factors that increased or are driving the year-on-year increase? How many of those will continue to be investments in 2021?
Ross Jerrard: I guess the sort of the big ticket item in terms of the TSF, the bulk of it sits within the next -- this year. I think there's up to $12 million that could potentially be sitting in 2021 as that rolls forward and also the timing of the solar project as that rolls forward. I don't think we would expect those spin rates to continue too long into '21 and we’d drop that down. So the profile will recover and basically end up being a very similar profile to what we've seen historically. 
Alan Spence: And actually leads into my last question. On solar power, anything you can give us around the economics, would be very helpful. I know you mentioned it could save up to 18 million liters of diesel. And I think further in the presentation it says fuel is 19% of your costs. What does that 18 million liters amount to as kind of the total cost profile? 
Ross Jerrard: I'll pass to Jeremy. But generally at a very high level, we're talking about a $9 million to $10 million cost saving on a per annum basis, as that flows through. We’re looking at a circa 3-year payback period for a $30 million type investment.
Jeremy Langford: Yes. Look, I think just to add to that, for us it’s kind of good environmentally -- benefit that this project offers. I think we can never predict the sun, particularly with renewable energy being supply and power. So, when you look at the cost per ounce, it's somewhere in the range of $20 to $40 an ounce, I think -- you think. Now that's based on the sun generating a certain amount of power. Obviously we can't control the environment.
Operator: We have no more questions on the line, but we do have a question from webcast. I'm going to read. That one is from [David Sutherby]. Please explain why we are looking at an annual 40:60 production ratio? This yet again is especially relating to high grading in Q4 2019. Also, when looking at optimizing resource I noticed working with Lyco to improve efficiencies at the plant. Are you also looking to use the likes of Caterpillar to ensure plant efficiency? Reason I ask is photos used on website show trucks standing. So do you have the correct mix, travels to trucks?
Ross Jerrard: Thanks for those questions, David. I guess, in terms of 40:60 ratio, that's really driven around the mine plan and the scheduling. We don't spud anything more than that, and it's driven by that plan. We are doing the studies. In terms of optimization studies, yes, Lycopodium are one of the consultants involved, and we use them in order to maximize value and give the technical sign off on our various initiatives.  In terms of seat availability, that's certainly right up there. We're fully utilized. We've got enough fleet, and there's no truck standing around or idle. 
Operator: [Operator Instructions] There are no further questions.
Ross Jerrard: Well thank you very much to everyone. That brings us to the close of the call. If you do have any further questions or would like to follow-up on anything discussed today, please get in contact, and we will revert as soon as we can. But thanks for your time and have a great day.